Operator: Thank you for standing by. My name is Karen, and I will be the conference operator today. At this time, I would like to welcome everyone to the Parex Resources 2024 Year-End Results. [Operator Instructions]. I will now turn the call over to Mike Kruchten. Please go ahead.
Mike Kruchten: Good morning, and welcome to Parex Resources fourth quarter 2024 conference call and webcast. My name is Mike Kruchten, Senior Vice President of Capital Markets and Corporate Planning. And on the call with me today are our President and Chief Executive Officer, Imad Mohsen; our Chief Financial Officer, Cam Grainger; and our Chief Operating Officer, Eric Furlan. [Operator Instructions]. As a reminder, this conference call includes forward-looking statements as well as non-GAAP and other financial measures with the associated risks outlined in our news release and MD&A, which can be found on our website or at sedarplus.ca. Note that all amounts discussed today are in U.S. dollars, unless otherwise stated. I will now turn the call over to Imad. Please go ahead.
Imad Mohsen: Thank you, Mike and good morning, everyone. In 2024, we achieved strong financial results from our underlying asset base, despite headwinds we faced during the year. By maintaining capital discipline and optimizing our conventional assets, we generated $275 million in free funds flow, making the third highest result in Parex's history. Alongside our strong financial performance, we made significant progress on several strategic fronts. As our reserves report stated, our core assets Llanos 34 and Cabrestero are performing at or above our expectations. This performance has been supported by progression of our waterflood plans at both blocks to maximize reservoir performance. In addition, our polymer injection pilot at Cabrestero is demonstrating success. And building on that, we are moving forward with the full deployment there in addition to a planned pilot at Llanos 34 and 25. In the Putumayo, we see a significant redevelopment opportunity, supported by multibillion barrels of oil-in-place volumes. To-date, the area has produced over 350 million barrels through primary recovery methods and limited recent drilling. We see substantial potential to increase recovery factors by applying lower risk strategies, which should provide long-term running room for us in terms of inventory, production and reserves. In the Llanos Foothills, we have made significant progress on our gas and exploration plans. We have aligned our land positions with our strategic partner, Ecopetrol in a trend that boasts world-class subsurface potential and became the operator. Our near-term focus is preparing to drill the Farallones exploration well in 2026, which is currently the top ranked prospect in our portfolio. These strategic milestones support our long-term sustainability. We remain committed to Colombia and see our current portfolio as a sustainable base, combined with a step change in exploration upside. Before moving on, I would like to introduce Cam Grainger, our Chief Financial Officer. With over 15 years of growing responsibility at Parex and an extensive in-depth understanding of both Colombia and our portfolio, Cam is uniquely positioned to make a significant impact and play a key role in driving our success moving forward. Additionally, I want to recognize the years of service and contributions from directors, Lisa Colnett and Robert Engbloom, who have announced they are retiring from the Board in May. In preparation to their upcoming retirements and consistent with our Board renewal process, we are pleased to recommend Mona Jasinski and Jeff Lawson to stand for election at our upcoming AGM, both of whom have energy sector experience and will bring refreshed perspectives. With that, I'll now turn it over to Eric to provide additional details on our recent operational performance and reserves report. Please go ahead, Eric.
Eric Furlan: Thanks, Imad. For Q4 2024, production averaged 45,297 BOE per day, which allowed us to meet our revised full year guidance range of 49,000 to 50,000 BOE per day. Operationally, we are currently running two rigs and expect to ramp up to four in the second quarter. This activity aligns with our plan to grow our production profile in the second half of 2025 with operations progressing within our expectations. Key priorities for delivering our 2025 plan include continuing to progress waterflood and polymer activity in Block 34 and Cabrestero, starting our Block 32 drilling campaign, advancing our near-field exploration or small e-program, and finishing the groundwork needed to begin our operational activity in the Putumayo, which is set to begin in the second quarter. Turning to our reserves report. In 2024, we grew our 1P and 2P reserves per share, while PDP per share decreased slightly. In the report, the strategic application of technology is leading to tangible benefits. At LLA-34, we saw positive technical revisions from our waterflood implementation, which increased the recovery factor. And at Cabrestero, we improved recovery through the successful implementation of polymer injection. Moving on to the Putumayo. As previously announced, we have added 10 million barrels of 1P and 18 million barrels of 2P of reserves. As Imad mentioned, as we start operations in the basin, we believe there's additional upside that can be captured. Across the portfolio, our outlook for 2025 is positive with optimism for further exploration and technology success in conjunction with successful exploration efforts. With that, I'd invite Cam to please go ahead.
Cam Grainger : Thanks, Eric. As Imad mentioned, we generated strong financial results in 2024, inclusive of an adjusted capital plan in the second half of the year. For the quarter, funds flow provided by operations was $141 million, supported by a Brent oil price of $74 per barrel as well as a recovery in current tax. Notably, in the quarter, we had a current tax recovery of $6 million, which compares to a $9 million expense in the previous quarter. This reduction in current taxes is mainly a result of opportunistic tax-driven transactions in Q4 2024, along with tax strategies deployed in recent years. For 2025, we expect a lower effective tax rate will remain, which our current guidance is 3% to 6% at $70 per barrel Brent. This is supportive of our FFO netback and contributes to a stronger dividend payout ratio. Also supporting our FFO netback at the moment is the Vasconia differential, which is currently below $2 per barrel. This contrasts with the 2024 average of approximately $5 per barrel. This price improvement is likely due to ongoing tariff tensions that are affecting global crude prices and likely increasing the demand for crude. This could be a differentiator for Parex relative to other energy companies where tariffs are currently having a negative impact. Capital expenditures for the quarter were $82 million, which was at the lower end of guidance. Lower capital supported free funds flow, which for the quarter was $59 million. As Eric mentioned, currently operations are progressing within our expectations, and thus our 2025 guidance is unchanged as a result. With that, I'll pass it over to Imad for some final remarks.
Imad Mohsen: Thank you, Cam. I'm very confident about our 2025 plan, which is focused on lower risk activities and high-graded set of opportunities. Right now, our team is dedicated to rebuilding market confidence by delivering steady results as we unlock our Colombian portfolio, which we think has a compelling risk and reward profile for investors. In parallel, we plan to continue strengthening our track record of shareholder returns. The dividend has headroom in our current plans and for any excess cash flow, we expect to use it for share buybacks and balance sheet strengthening purposes. Over the past five years, we have been able to return C$1.5 billion to shareholders, which is more than our current market cap. I'm confident that we will continue building on that track record in 2025 and beyond. To close, I want to thank our employees, shareholders and partners for their ongoing support. In particular, I want to emphasize and thank all our employees for their unwavering dedication to safety. Thanks to your daily commitment, 2024 marked our company's best safety performance yet. This concludes our formal remarks. I would now like to turn the call back to the operator to start the Q&A session for the investment community. Thank you.
Operator:
Mike Kruchten: Thank you very much for joining us. If you have any additional questions, please feel free to contact us at Parex. Have a good day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining, and you may now disconnect.